Operator: Good morning, ladies and gentlemen, and welcome to the Vontier Third Quarter 2024 Earnings Call. At this time, all lines are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions] This call is being recorded on Thursday, October 31, 2024 and a replay will be available shortly after. I would now like to turn the call over to Ryan Edelman, Vontier's Vice President of Investor Relations. Please go ahead.
Ryan Edelman: Thank you. Good morning everyone, and thank you for joining us on a call this morning to discuss our third quarter results. With me today are Mark Morelli, our President and Chief Executive Officer and Anshooman Aga, our Senior Vice President and Chief Financial Officer. You can find both our press release, as well as our slide presentation that we will refer to during today's call on the investor relations section of our website at investors.vontier.com. Please note that during today's call, we will present certain non-GAAP financial measures. We'll also make forward-looking statements within the meanings of the federal securities laws, including statements regarding events or developments that we expect or anticipate, will or may occur in the future. These forward-looking statements are subject to risks and uncertainties. Actual results might differ materially from any forward-looking statements that we make today. And we do not assume any obligation to update them. Information regarding these factors that may cause actual results to differ materially from these forward-looking statements is available on our website and in our SEC filings. With that, I'd like to turn the call over to Mark.
Mark Morelli: Thanks Ryan, and good morning, everyone. Thank you for joining us on today's call. I'll provide a high level overview of our performance in Q3 and a brief update on our end markets and the progress we're making on our strategy. Anshooman will then provide a deeper dive into our results and outlook for the full year. Let's get started with a summary of the quarter on slide 3. We delivered solid results in the third quarter as we continue to capitalize on strong momentum across our convenience retail and fueling end markets, supported by increased adoption of our market leading technologies. Core sales increased 3% above the high end of our guidance range with upside from both our environmental and fueling and mobility technology segments. Discipline operational performance drove operating margins toward the better end of our guidance and EPS above the high end of our range. Vontier has a unique competitive advantage within the mobility ecosystem with a purpose built portfolio of connected hardware and software solutions. We continue to make solid progress on our connected mobility strategy, which places us at the forefront of our customer's digital transformation journey. A great example of how we're delivering differentiated solutions is the traction we are seeing with our Invenco offerings in payment and enterprise productivity. Invenco sales increased more than 20% in the quarter, driven by higher adoption of our recently launched FlexPay 6 payment terminal, as well as our vehicle identification system discussed on last quarter's call. As we connect manage and scale the mobility ecosystem, our focus on reinvigorating R&D and new product introductions are delivering tangible results. Our environmental and fueling business improved sequentially and delivered nearly 9% core growth in the quarter with broad based demand across regions and product lines. Growth was particularly strong in North America across the entire product portfolio. The pipeline of new site filled activity continues to expand and the increased adoption of FlexPay 6 is helping to re accelerate retrofit and refresh activity. No to volunteer orders were encouraging in the quarter, up 10% year over year organically and resulting in a book-to-bill over one for the third consecutive quarter. Some of this reflects the benefit of Q2 order recovery, but the underlying booking trends were a positive indicator. We're still in the early ending of our simplification program under Pillar 1 optimize the core and we will continue to execute against the pipeline of opportunities. Leveraging VBS and the 80/20 principles embedded in our focus and prioritization program. Operating profit margins benefited from accelerated cost actions announced last quarter delivering approximately $5 million in savings. Let's turn to slide 4. Looking across our primary end markets and the individual verticals within each. We continue to see momentum for most of the portfolio convenience retail and fueling. Our largest end market has unmatched channel presence with leading share positions demand here remains robust. With the one exception being car wash, which accounts for about 7% to 8% of total sales. Successful C-Store operators continue to execute their multi-year site expansion and modernization plans. And the industry continues to consolidate. This favors the large national and regional operators where we have the higher market share and where we are focusing innovation. We're seeing more evidence that the organic and inorganic investments we've made to accelerate growth, executing on Pillars 2 and 3 of our framework are paying off giving us even stronger conviction around this end market. As you may recall, Pillar 2 expanding the core is about leveraging our current market positions to accelerate profitable growth with a focus on driving share gains through innovation and market leading product vitality. We're advancing our Invenco product strategy and we are seeing increased customer adoption of our innovative payment point-of-sale and for core automation solutions. We're standardizing our convenience retail offerings around our iNFX micro services architecture. This allows us to deliver a customizable scalable platform that unlocks the ability to drive growth, reduce costs and enhance the consumer experience. As an example, we were recently selected by one of our long standing customers Costco to deploy our unified payment solution across their footprint in Canada. This includes our FlexPay 6 payment terminal and iNFX micro services software. With this solution Costco will have the ability to seamlessly integrate their existing hardware, software and services while enabling over the air updates optimizing payment security compliance and customizing loyalty programs. The critical value proposition we're offering customers like Costco is improved uptime faster transaction times and lower cost to operate. The end result is improved productivity and throughput for our customers and a better user experience for the consumer. We also secured a contract with a major global C-Store operator in the third quarter with a total contract value of approximately $10 million. This project involves upgrading and converting legacy payment technology to FlexPay 6 across the acquired sites in North America. This serves as a clear example of how industry consolidation drives increased retrofit activity as operators standardized technology platforms following acquisitions. At environmental fueling, we won three large multi year tenders in India in Q3 with a total contract value of approximately $70 million. This was a direct result of our VBS initiative to design out costs and improve the quality and security of our dispenser equipment as well as localized production. Just last week we were awarded one-fourth tender to install underground Submersible tank pumps across their network which is an incremental contract value of approximately $15 million over the next 12 months to 18 months. These wins are reflective of the significant effort by our teams. And another example of how we're growing market share and improving market leading margins in our EFS segment. Pillar three is about delivering profitable growth from adjacent markets. We are pursuing opportunities to expand into adjacent end markets with solutions leveraging new and existing offerings and channels to market. We continue to see strong evidence that convenience stores will be a big beneficiary of the build out of easy charging infrastructure as a preferred stop for on the go charges. Our connect turnkey EV solution launched in May, specifically, targets this market and continues to gain momentum. We were recently awarded a $2 million contract by a large regional convenience store chain to begin deploying connect at its sites across the US. Connect includes EV chargers, network software management and leverages our excessive channel and service network from GVR. It also incorporates our flex pay six payment terminal to deliver the same reliability and integrated payment capability used across convenience retail sites. The first sites go live this month and we are managing everything from site selection and levy funding applications to installation and technical support. Driivz is now a leading software offering for charge point operators to manage their growing network of EV chargers. We are accelerating our plugs under management further now sitting at over 100,000 more than doubling year-over-year. 80% of these are located in Western Europe which is the leader in the world for EV adoption. In October, we signed one of the largest global fleet operators with 1.5 million vehicles under management to support their fleet electrification efforts. Driivz revenue is up nearly 50% year-to-date and contributing to overall Vontier growth for 2024 and beyond. While we're seeing healthy demand across most of our end markets there are two primary areas that are experiencing some pressure in your term car wash and auto repair. The car wash industry continues to transition from a multi-year hyper growth phase for tunnel car wash systems to a more normalized growth rate. After rising significantly construction costs for tunnel systems have now stabilized and interest rates are beginning to move in the right direction. However, we anticipate there will be a lag between these developments and an inflection in demand for Greenfield tunnel systems. Turning to the auto repair and market. As we noted previously headwinds at repair solutions are related to slower discretionary spending by service technicians resulting from persistent inflation and general uncertainty regarding the US economic and political environment. While the volume declines in Q3 played out largely as we anticipated order rates and distributors sell-through volumes are showing improvement. The backdrop for auto repair remains strong. Technician wages and employment are healthy and the age and complexity of the car part is increasing providing demand for auto repair. A similar transformation to convenience stores is happening in the commercial and industrial fleet market as the industry looks to modernize and decarbonizes, managing fleets is a major challenge and requires multiple technologies, fuel types and the integration of traditionally disparate systems and data. Our crop business solutions optimize fleet depot management with the lowest total cost of ownership while achieving sustainability and compliance goals. Turning to slide 5. Earlier this month, our teams gathered at the annual max trade show in Las Vegas. The convenience store industry's largest trade show of the year where we were able to showcase the full breadth and depth of the volunteer portfolio. This was a great opportunity to highlight the outcomes of our connected mobility strategy with a best in class suite of end-to-end solutions that deliver enhanced consumer engagement and productivity while lowering the cost to operate. At Max, we introduced the hub, a great example of the unique capabilities of our portfolio. The hub is built on the iNFX microservices architecture and seamlessly integrates all existing devices at a retail site onto a single cloud-based platform to manage their infrastructure remotely and more efficiently. We also introduced several differentiated solutions and feature sets that expand our existing portfolio of productivity and revenue generation capabilities. Feedback from customers at the show validates our strategy around delivering best-in-class end-to-end open architecture solutions. I'm confident we're on the right trajectory. We're well-positioned and durable attractive in markets with long-term profitable growth opportunities. Our leading market share position, business simplification opportunities and test generation profile are bolstering our position and we expect to capture even greater operating leverage as demand accelerates. With that, let me turn the call over to Anshooman.
Anshooman Aga: Thanks, Mark, and good morning, everyone. I'll start on slide 6 with a summary of our consolidated results for the third quarter. Reported sales were $750 million with core growth of approximately 3%, led by solid growth from our environmental and fueling and mobility technology segment, adjusted operating profit margin declined 80 basis points at the better end of our guide as contributions from positive price/cost and accelerated cost actions were more than offset by lower volume and unfavorable mix associated with lower sales at DRB and repair solutions. This resulted in an adjusted EPS of $0.073 for the quarter ahead of our expectations, adjusted free cash flow was $109 million with conversion of 98%. Let's review our segment results starting on slide 7. Environmental and fueling solutions achieved core growth of 9% in the quarter, driven by broad based trends across the portfolio. Total dispenser sales increased high single digits with US dispensers contributing mid-single digit growth. Aftermarket part sales increased over 20% in the quarter, bringing year-to-date growth into the high-teens. We continue to leverage our large and expanding installed base and focus on higher value components, accelerating growth in this higher margin offering. Environmental solutions grew low-single digits, with strong growth in North America supported by new product launches earlier in the year, partially offset by a strong 30% prior year comparison in international markets. Segment operating profit margin expanded 50 basis points in the quarter on positive price/cost and continued execution on our ongoing simplification efforts. Year-to-date, segment operating profit margins at E&F are up 160 basis points over the prior year. The team has done an incredible job executing, leveraging VBS and Pillar One initiatives. Turning to slide 8, Mobility Technologies reported a core sales increase of over 4% in the quarter, driven by robust demand for payment and enterprise productivity solutions partially offset by our Car Wash business. Invenco achieved impressive double-digit orders and sales growth for Q3 and year-to-date, demonstrating the effectiveness of our investments in new product development. Sales at DRB declined as expected in the quarter with revenue stabilizing sequentially on a dollar basis. Mobility Technologies operating profit margin declined approximately 270 basis points versus the prior year, due primarily to ongoing R&D investments at Invenco and unfavorable mix. Moving to a Repair Solutions segment on slide 9, core sales declined 5% as expected, due to ongoing macro uncertainty, pressuring technician spending particularly for more discretionary larger ticket items. However, we're seeing signs of improvement. Tool storage sales declined just over 10%, which is a significant improvement from Q2's exit rate. As demand for most product lines has come under pressure, we have leveraged our agile business model to pivot product vitality towards the tools that service technicians need most, lower price point tools that add value and productivity in the day-to-day workloads. From our most recent technician survey, we know they continue to prioritize power tools, hard-line hand tools and diagnostics. Segment operating profit margins declined 560 basis points, driven by lower volumes and mix as well as timing of bad debt reserves year-over-year. Sequentially, margins are up 10 basis points in line with what we were anticipating. Looking at the balance sheet and cash flow on slide 10, our net leverage ratio remained flat sequentially at 2.7 times, but improving from 2.9 times a year ago. We completed $105 million in share repurchases in the quarter, through both an accelerated share repurchase plan and open market transactions. Year-to-date, through September, we have repurchased $165 million or approximately 4.7 million shares. Our balance sheet remains healthy with strong liquidity, over $300 million in cash on hand and an undrawn credit revolver. We continue to believe there is a significant valuation disconnect relative to our long-term growth, profitability and cash generation potential. As a result, we expect to continue to deploy free cash flow to buy back in the fourth quarter and plan to repay a small amount of deb. With that, let me provide an update on our thinking for the fourth quarter and full year. I'm on slide 11. For the full year, we are narrowing our guidance ranges around the midpoint of our prior guide and now expect revenue of approximately $2.97 billion, which reflects core growth of slightly above 1%. Operating margin will be relatively flat year-over-year. We are maintaining a prior adjusted EPS midpoint of approximately $2.90. This translates to 1.5% core growth at the midpoint for the fourth quarter with operating profit margins down approximately 20 basis points equating to EPS of roughly $0.79 Before I turn the call back over to Mark, I wanted to provide some early thoughts on 2025. While it is too early to provide guidance, as you start to fine tune your models, there are a few things to consider. We expect demand for the majority of our end markets to remain healthy next year supporting overall growth and margin expansion. Although we're seeing early signs of recovery in repair solutions and car wash markets, the timing of eventual inflection is difficult to predict. That said, expectations are that both markets likely trend flattish next year. Additionally for Q1, we will have a tough compare at EFS, which grew 10% and expanded margins nearly 400 basis points this year. Also our annual Matco Expo event will move from Q1 to Q2 in 2025, shifting approximately 30 million between the two quarters. With that. I'd like to pass the call back over to Mark.
Mark Morelli: Thanks, Anshooman. I'm encouraged by our progress year-to-date, as we're gaining traction in our end markets that are strong, offsetting some weaker segments with innovation and beginning to see signs of stabilization and recovery in the businesses that have softened earlier this year. We're executing on our connected mobility strategy and our focus on innovation is delivering critical new product introductions at a faster pace. We have a good set up for 2025 to continue to accelerate growth and profitability. Vontier is uniquely positioned to lead the digital transformation of the mobility ecosystem, which is still in the early innings. We're enabling our customers to manage an increasingly complex infrastructure through best-in-class technology and a portfolio of multi energy solutions. As we connect manage and scale the mobility ecosystem, we expect our continued portfolio transformation will enable sustainable growth and allow us to deliver top tier financial returns. I'd like to thank our teams around the world for their commitment to execution and dedication to delivering for our customers. Our performance is directly attributable to our culture of continuous improvement, which our employees demonstrate every day. With that operator, please open the line for questions.
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] And we have questions that came in. And the first question comes from the line of Nigel Coe from Wolfe. Your line is now open. Please go ahead.
Nigel Coe: Thanks. Good morning, everyone. Thanks for the question. Anshooman, I just wonder maybe you can just kick off with just any additional color on how you see 4Q so that 1.5% organic growth breaking out between the segments. And then the -- I think you're guiding for 50 bps of sequential margin expansion which would be, obviously, very normal with the 4Q seasonality. But again, any color on the segments would be helpful.
Anshooman Aga: Yes. Good morning, Nigel. So, from a environmental and fueling perspective that business should continue to have good growth in the fourth quarter. We're expecting high-single-digit growth for EFS. They're coming off a really strong quarter of bookings and a good book-to-bill. Mobility technologies, also, book-to-bill was above 1% and actually all our businesses. But Mobility technology business should be flattish for the fourth quarter from a revenue perspective. We continue to see good growth and good fraction on Invenco with our innovation paying off. The car wash market, as we talked about, we're seeing sequentially it's stabilized. But from a year on year perspective, that would be a headwind for us. So that leads to a flattish number for mobility technologies and then repair solutions. Again, while the market is stabilizing, we expect it still to be down on a year-to-date basis -- a year-over-year basis of about the single-digits.
Nigel Coe: Okay. That's helpful. And then just wanted to dig into the aftermarket strength within the EFS segments, I mean 20% growth for parts and aftermarket is extraordinary number. Is there anything here, is there sort of dilapidated in sort of base? Are there some growth initiatives coming to bear here? You know share gains? I know that you've been showing double-digit growth here, but I just wanted to just dig into that, and just remind us how big is that portion of the segment?
Mark Morelli: So Nigel, I'll take that question. It’s mark. Look, this is a beneficiary of the EMV cycle that we all had to live through. But the installed base went up and I think we demonstrated we gained share during that cycle. And at the same time, it was one of our earlier profitable growth initiatives that we launched post spin to resegment this as a separate business inside of Vontier. And then have that business run with a strong focus on VBS and putting in place some of these 80/20principles to try to one clean up some of the offerings. A great example of that is we do some refurb manufacturing of boards was one of the new launch efforts. And then we took out some of the SKUs so that we could try to get some more acceleration on that. So you've seen a great trend on that business, and I think it continues to show that this is going to be a business for a long time where we get that, and then the total revenue for the business is over $200 million at above the margins by the way.
Nigel Coe: Great. Thanks Mark. I appreciate it.
Operator: Thank you. And the next question comes from the line of Julian Mitchell from Barclays. Your line is now open. Please go ahead.
Julian Mitchell: Thanks very much, and good morning. Maybe just coming off the back of some of the initial comments on 2025, if I'm thinking organic sales, you're exiting this year up low-single-digits with the headwinds are also, auto repair and car wash. So, it says low single digits for next year, at least the first half looks reasonable for now. And then anything on operating leverage or below the line to emphasize, I think operating leverage you have the low 30s placeholder for the investor day, any reason that would not apply in 2025, and then anything sort of below the line to emphasize, if you look at it today.
Mark Morelli: So Hi, Nigel -- excuse me – Julian, this is I think great set up for 2025 for us. I think the areas that we're really encouraged about is, one, we're seeing stabilization some of the markets that we talked about that were choppy. We're seeing some really great innovation read through, and we're of course bringing on the call some really specific examples where there's uptake on this integrated network that is getting a lot of favorability, with our customers. So, we think we're going to get uplift in the markets that have been stronger and the self help issues in our pillar one are going to help buoy the margin. So the set up for 2025, looks pretty positive from us. Of course, mix has not been our friend. You know with some of our profitable businesses being weighed down, but I think we've got the right actions in place, regardless of what the market spring next year, it's a little bit too early to give guidance specifically on that, but really encouraged by the set up we see. Anshooman, do you want to jump in there?
Anshooman Aga: Yes, Julian. So the incrementals that you mentioned, the 30 to 35% should play out. We're in the early innings of our pillar one and with the power of VBS around continuous improvement. So we feel confident that we should drive margin expansion next year. Also, below the line obviously, with the buybacks we've done, the share count of about 152 million is where we stand right now, for the fourth quarter that will continue. So there should be some benefit into next year, when you look at the year-on-year. And then, your point on the low single digit growth, just I will point out, which I also said during the prepared remarks, Q1 we have a difficult compare for EFS, but also the Matco Expo, which is our largest sales event is movement from Q1 to Q2, which moves about 30 million out of Matco's revenue orders and sales for Q1 into Q2. No, change for the first half, but just a shift between quarters.
Q – Julian Mitchell: That's helpful. Thank you. And just wanted to make sure on the sort of margins for the fourth quarter. You have that sequential uplift with normal seasonality firm wide, just any points of emphasis on which segment might lead or lag, in terms of the sequential margin increase in Q4.
Anshooman Aga: Julian, some of the fall through from the incremental revenue obviously, will play out. For EFS, we expect margins to be relatively flat to potentially slightly down year-on-year. They had a good Q4 last year from a margin perspective. Repair solutions should be sequentially flat again to potentially slightly up. So, that's we've seen the margins stabilize out there from Q2 to Q3 and we should see that continue into Q4.
Q – Julian Mitchell: That's great. Thank you.
Anshooman Aga: Thanks Julian.
Operator: Thank you. [Operator Instructions] And the next question comes from Andrew Obin from Bank of America. Your line is now open. Please go ahead.
David Lane: Good morning. This is David Ridley Lane on for Andrew. On the on the India Tenders. We think that flows in over two to three years. I heard that the just to confirm it's 15 1-5 for the underground stuff is coming 12 to 18 months. What about the other?
Anshooman Aga: Yeah. So of the 70 million that we called out in terms of bookings. There's two components of it. There's the hardware that goes over the next 18 months or so. And then we have the services that goes over multiple years. Just from a bookings perspective our policy is to book the next 12 months. So we booked about 25 million of the 70 million in the third quarter. So what you can expect over the next 12 months 25 million of that hardware revenue will flow through up to 70 million that we called out for the third quarter.
David Lane: Got it. Thank you. And then on the on the $12 million cost cutting benefit here in 2024 that would imply you have a kind of 12 million carry over benefit next year. Wanted to get a sense you're doing R&D investments in in bingo and other places to accelerate the NPI, how much of that do you think would be used for reinvestment versus pulling through?
Anshooman Aga: After the 12 million what we said last quarter about two-thirds of it is permanent and there's a little bit that is temporary. So you could expect about 8 million of it to carry forward into next year. It's a little early to give guidance but and early to have finalized plans, but we expect R&D as a percentage of sales to stay relatively stable going into next year.
David Lane: And if I could squeeze one more in. On the macro bad debt reserves, do you just mathematically lap those next year or could there still?
Anshooman Aga: We do.
David Lane: Okay.
Anshooman Aga: Yeah. We lap them next year. And the market for the financial portfolio isn't getting worse, it's stabilized. So when we look at our actual bad debt expense for Q1, Q2, Q3, it's relatively flat every quarter over those three years, it's just a compare issue. The market stabilized. Our portfolio is relatively healthy. And especially when you compare it to some of the credit card industry data, we're doing actually better and it stable.
David Lane: Thank you. Thank you very much.
Operator: Thank you. And it seems like no further questions that came through. I would now like to hand back the call over to mark. Please go ahead, sir.
Mark Morelli: Yeah. Thanks, John. We appreciate folks joining us on today's call and we appreciate the interest in Vontier and look forward to engaging many of you on the road in the next several weeks. Have a good day.
Operator: Thank you. This concludes our conference for today. Thank you all for participating. You may now disconnect your lines.